Operator: Good day and thank you for standing by. Welcome to the VinFast Auto Limited Second Quarter 2024 Earnings Call. At this time all participants are in a listen-only mode. After the speakers' presentation there will be a question-and-answer session. [Operator Instructions] Please be advised that today's conference is being recorded. I would now like to hand the conference over to your first speaker today, Nhi Nguyen. Please go ahead.
Nhi Nguyen: Thank you, operator, and good morning, everyone. This is Nhi Nguyen from VinFast Investor Relations. Welcome to our second quarter earnings conference call. Joining me on the call today are Chairwoman of the Board, Madame Thuy Le; and our CFO, Ms. Lan Anh Nguyen. During the call, we will discuss our second quarter performance, business update and present our outlook for the remainder of 2024. After management remarks, we will have 30 minutes for Q&A. We will also reference a slide deck today, which is accessible on the IR website. Before I turn the call over to Madame Thuy Le, let me remind you that some of the statements on this call include forward-looking statements under federal securities law. These include, without limitation, statements regarding the future financial and operating outlook, guidance, as well as macroeconomic, industry trends, company initiatives, and other future events. These statements are based on the predictions and expectations as of today. Actual events or results may differ due to a number of risks and uncertainties. We refer you to the cautionary language and the risk factors in our most recent filings with the US Securities and Exchange Commission. In addition, management will refer to non-GAAP financial during this call, a discussion of why we use non-GAAP and information regarding the reconciliation of our non-GAAP versus GAAP is available in the press release that we issued this morning. You can also find it on the final page of our presentation. And with that I would like to invite Madame Thuy Le to start with management updates.
Le Thi Thu Thuy: Thank you, Nhi, and welcome everyone to VinFast's second quarter 2024 earnings call. It has been a while since we last spoke with you and I'm happy to be here again and share exciting updates about VinFast's latest activities and business results. I would like first to remind you that we are fully committed to our mission to contribute to a sustainable future for everyone. As a result, our strategy remains steadfast in being a vertically integrated green mobility solutions company providing high quality and good value electric vehicles. We recognize that certain markets are currently facing headwinds that pose challenges to the EV outlook. As a result, we took a prudent review of our business plan earlier in the year. However, thanks to our diversified EV product portfolio and access to multiple markets. We have developed execution plans that address these macro challenges, capture near-term growth opportunities and support VinFast delivery target of 80,000 EVs for 2024. We are focused on balancing the twin objective of growth and profitability. To achieve growth, this means ramping up production, growing our dealership network and marketing the VinFast brand in new and selected markets. Concurrently, we will continue to enforce our cost reduction initiatives which have been progressing very well. Our CFO will elaborate in more details later. In 2024, the strategic decision to focus on the growth momentum in our home market, Vietnam, where we have clear advantages has helped greatly in balancing these two objectives above. Now let me first discuss our Q2 delivery results before I dive deeper into our key markets. We delivered 13,172 EVs in the quarter in line with our internal forecast. This was up by 44% quarter-over-quarter, 43% year-over-year and brings our total deliveries for the first half of the year to 22,348 vehicles representing 101% year-over-year growth. Zooming in, we found that sentiment amongst retail consumer in Vietnam was strong with B2C delivery in Vietnam seeing a growth of 108% year-over-year in the first half of 2024 and 146% quarter-over-quarter in Q2. As previously guided, delivery to related party customers, which were mainly to GSM, accounted for 51% of total deliveries in Q2, compared to 57% of that in Q1 2024 and 72% in full year 2023. Looking at our product mix, the VF 5 was the main volume driver since its launch in Q2 2023. The VF 5 has recorded a nine times increase in sales volume in just one year in Q2 2024 versus Q2 last year. During the quarter, the VF 5 accounted for 62% of total deliveries. The VF 8, VF e34 and VF 6 accounted for 30% of total deliveries this quarter. Given that it is still early days for newer models like VF 6, VF 7 we have seen very encouraging month-over-month growth. For E-scooters, we delivered 13,076 units in Q2, up by 67% quarter-over-quarter and 28% year-over-year. Starting off with our home market, Vietnam, which was the main contributor of our Q2 growth. The strong foundation that Vingroup together with VinFast had built around the green mobility ecosystem led to increased consumer awareness about the VinFast brand and our electric vehicles. We believe that such brand recognition play a pivotal role in accelerating the adoption of EVs. Based on public data from the Vietnam Automobile Manufacturers Association, VinFast recorded the highest year-over-year growth during the first half of 2024 amidst a flat passenger vehicle market. The VF 5 has already established the leading market share in the A-segment. One of the most talked about products in the market recently is our unique mini four seater e-SUV VF 3. The new EV model's stylish useful look was very well received. We had 28,000 non-refundable pre orders within just 66 hours of launch. With its affordable pricing, VF 3 is the perfect product for two-wheeler customers who are looking to switch to four-wheelers. With the delivery of VF 3 starting in Q3 this year, we have completed the development of all the seven e-SUV models. The Vietnam EV market is still in very early days and has a long way to go to reach its peak. VinFast currently has the majority market share of EVs in our home market. Our commanding market position was built on the lack of competition from local car manufacturers and extremely high barriers of entry faced by foreign EV players. Given the strong customer recession to EVs in Vietnam, we expect the momentum in our home market to be the main driver for our full year target, which will offset the near-term uncertainty in other markets. Let's discuss our other existing markets, North America. For the US, we made the strategic decision to push out the timing of our North Carolina plant in response to current macroeconomic uncertainties. This does not change our long-term business plan and is part of ongoing assessment of our key markets as a multinational company. Lan Anh will provide more details about the near-term CapEx savings as part of the capital reallocation from this decision. Q2 was a transition period for VinFast in the US. As we adjusted our lease offering in response to ongoing discounting and sales incentive by other OEMs. We laid the groundwork for further customer traction focusing on building brand awareness through our dealer network. We have also established a dealer advisory council as part of an initiative to get more timely insight into our sales and service strategy. We currently have 14 dealer stores across seven states in addition to our showrooms in California. While acknowledging the challenges in the US during the quarter, we are encouraged by the uptick that we have seen in July and August because of the enhancement made to the model year 2024 for the VF 8. In the coming months, we plan to launch the VF 9, VF 6 and VF 7 at the end of the year. Our expanded offering will enable VinFast to widen our reach to US customers and address the demand for affordable e-SUVs. The decision by several OEMs to cancel or delay the launch of affordable e-SUVs will actually present an opportunity for VinFast to fill the gap in this segment. In Canada, we had a good quarter with a 15% growth quarter-over-quarter. We also see good traction continue in Q3, while delivery in July and August already achieved by the highest levels in the last 12 months. Product planning for Canada will be very similar to that in the US. Now, let's visit the new markets, Southeast Asia and India. In Southeast Asia, we expedited our entry into Indonesia and the Philippines to capitalize on the increased customer awareness towards new energy vehicles. Despite being a new entrant to Indonesia less than six months ago, we have already established 15 showrooms covering big cities such as Jakarta and Surabaya as of August 31st. We shipped the first VF e34 in right hand drive configuration and started delivery to our customer in the market. Our innovative go-to market strategy in a competitive market like Indonesia has gained traction with local customers. Almost 100% of our sales and reservation in Indonesia have been driven by our differentiated unique battery leasing offering. We expect the battery leasing program to be well received in the Philippines as well and it will further validate our efforts to address EV affordability. In India, we signed a number of LOIs with dealers in 15 major district and cities. VinFast's assembly plant in Tamil Nadu with an initial capacity of 50,000 electric vehicle per year is on track to commence operation in 2025. As a recap, despite taking a prudent approach during Q2, we have also made significant progress in building our global distribution network with dealership network deliveries increasing quarter-over-quarter and accounting for 23% of second quarter delivery. As of August 31st, we had established 155 showrooms across all markets with approximately 70% being dealers stores. The second quarter served as a crucial transition period for VinFast allowing us to reflect on our strategies, strengthen our competitiveness in our home market and expand both our global distribution network and product portfolio, laying a solid foundation for achieving our delivery target this year. With that I will pass the call over to Lan Anh to discuss our financial results for the quarter.
Nguyen Thi Lan Anh: Thank you, Madame Thuy Le, and hello, everyone. Q2 2024 was an in-line quarter with our forecast. We continue to focus on cost optimization and stringent capital allocation while maintaining a level of flexibility in our CapEx plans and continuing to grow our top line. Q2 2024 revenue of US$357 million was in line with our forecast, representing a 9% year-over-year increase and 33% increase quarter-over-quarter. This was driven by the product mix shift as sales of more affordable models accounted for a larger proportion of deliveries during the quarter. Our reported gross loss for Q2 2024 was US$224 million equivalent to a gross margin of minus 62.7% as compared to Q1 2024 of minus 58.7% and minus 42.5% in Q2 2023. As we launch sales initiatives to boost our brand awareness in various markets and to enhance our competitiveness, a higher charge to write-down carrying value of inventories NRV was recognized in Q2. The NRV in Q2 was US$104 million compared to US$5 million in Q1. This was the main reason for the increase in gross loss margin. In terms of cost optimization, we saw improvements in both bill of materials and production cost. In Q2, average bill of material cost for own models declined by 16% and average production cost for own models declined by 43%. Keep in mind that while cost of materials is currently trending down. It will take some time for these savings to be visible in our P&L once the vehicles made with these materials are delivered. We expect bill of material cost optimization to continue and this will be an important factor for our path to profitability. Operating expenses for Q2 2024 rose 28% quarter-over-quarter and 24% year-over-year as we expanded into targeted international markets. We continue to evaluate every cost item closely. I would like to highlight the improvement in SG&A expense as a percentage of revenue after we switched to a hybrid sales model with our dealer network. Sales through our dealer channels has increased during the quarter. And in Vietnam, the number of showrooms was flat from Q1 to Q2, while sales in this market increased 64% quarter-over-quarter. R&D was US$110 million which was flat compared to Q1 and a decrease of 23.3% compared to the same period last year. The year-over-year decline was in line with the number of our EV models progressing from the development stage to commercial production in the last four quarters. CapEx in Q2 was US$108 million as compared to US197 million in Q1. The bulk of our CapEx was for the development of manufacturing facilities and payables of charging infrastructure development. And those CapEx items payables of charging infrastructure development were nonrecurring. We have taken a disciplined approach for our CapEx outlook as we optimize resource and capital allocation. Adding to what Madame Thuy Le has shared about the North Carolina facility, the adjusted timeline allows us to reallocate the capital to the lower cost India and Indonesia facilities and see lower CapEx requirements for this year. Any new investments for R&D or CapEx will be carefully evaluated under a prudent framework. Given a certain level of discretion in our CapEx, we have some flexibility to adjust our variable spending. Turning to our liquidity position as of 30 June, 2024 we have US$98 million cash on hand and have not utilized the intended grants from our Founder and our US$968 million e-log facilities. These resources can continue to support our cash needs for operations and committed CapEx plans for this year. We have also prepared our debt service arrangements by refinancing or extending facilities agreed upon the principle with our partners. I would like to stress that our 2024 delivery target is attainable through a ramp up of our production in Vietnam and our growing distribution network. Before I hand the call over to Madame Thuy Le for a closing remark, I would like to address our recent earnings restatement. While the earnings restatement only had a minor impact on actual results, we are taking this very seriously. We are putting in place further internal policies and conducting regular audit activities on the transparency of own data handling process and financial statements. As we navigate our first year as public company, I want to provide assurances about our commitment to making strong internal control as a top priority at VinFast.
Le Thi Thu Thuy: Thank you, Lan Anh. For the rest of 2024, Vietnam, where the momentum is accelerating in Q3, thanks to the VF 5, will play a key role in mitigating near-term softness in other markets and serve as our primary revenue driver. In addition to leveraging Vingroup's extensive ecosystem, we have a large and continuous growing charging infrastructure, flexible battery leasing options and strong after sales services for VinFast to be the number one player in our whole market. International markets will play an important part in our longer term growth trajectory as we increase our brand awareness and expand distribution. We are prudently monitoring the macroeconomic environment, while focusing on revenue growth and cost optimization to reach breakeven in the foreseeable future. Finally, I would like to share our observations about the competitive landscape and our positioning. With legacy OEMs shifting away from the EV initiatives, noises surrounding hybrid vehicles and other pure EV players mainly focused on the premium EV segment. VinFast is the only pure EV player with a comprehensive product lineup that can deliver affordable high quality EV to everyone. We thank you for your continued support. And with that now I would like to turn it over to the operator for the Q&A session.
Operator: Thank you. [Operator Instructions]
Nhi Nguyen: Thank you, operator. We have the first question from the floor. Have you seen any changes in the competitive landscape in Vietnam given that new players are entering into the market?
Le Thi Thu Thuy: Thank you. The Vietnam EV market is still has a lot of headroom to grow and this is evident in the interest that other foreign OEMs that have expressed in entering Vietnam recently. So, we believe that potential new market engine can quicken the pace of EV adoption in our home market. However, given that we have a very dominant green mobility ecosystem in the country, which includes the V-Green charging infrastructure. We are confident that we can maintain our leading position despite the new market engines. Brand loyalty to Vingroup and Vingroup ecosystem, and the benefits offered to VinFast owners within our ecosystem and also serve to strengthen our leading position in Vietnam.
Nhi Nguyen: Thank you, Madame Thuy Le. We have the next question from the line. CFO mentioned that bill of material and production cost went down by 16% and 43% per unit. Can you provide a little bit more color on that? How should we think about the bill of material cost reduction and production cost reduction for the second half of 2024?
Nguyen Thi Lan Anh: Thank you, Nhi. During the quarter, we took a number of initiatives to make improvements in bill of material costs including lower battery costs, design optimization around ADAS, introduction of customer fit upgrades for certain features, supply chain optimization around key components. Keep in mind that while the cost of material is currently trend down, but it will take some time for these saving to be visible in our P&L once the vehicles meet with these materials are delivered. We expect this bill of material cost optimization effort to continue into the foreseeable future.
Nhi Nguyen: Thank you, Ms. Anh Nguyen. Operator, please open up the line for live question.
Operator: Thank you. We will now take our first question. Please stand by. And the first question comes from the line of Andrew Sheppard from Cantor Fitzgerald. Please go ahead. Your line is now open.
Andrew Sheppard: Hi, everyone. Good morning, good afternoon. Thanks for taking our questions and congratulations on the quarter. I wanted to maybe ask about gross margins. Looks like this quarter margins were maybe slightly below expectations. So just curious now with the deliveries of the VF 3 model ramping up. Just curious if you can maybe give us some color what kind of gross margins trajectory should we expect for later this year and what does the path towards breakeven gross margins look like? Thank you.
Le Thi Thu Thuy: Hey, Andrew. So if you look at the gross margin after taking out the like one-off charges for the NRV we actually are trending more positive than last quarter. But because we took about US$104 million of like one-off, yeah, the charges to the impact to NRV. That's why it's, you see, like seemingly worsening the margin, but actually margin improved compared to the last quarter. We and also there's some impact from the limited sales offering on the market, previously on the lower model in the upcoming quarters more like on the higher model. So that we always want sales promotion from time to time. So there's some impact of that, but mostly because of the NRV. We believe that the margin is going to get better like will trend better in the coming quarters.
Andrew Sheppard: Thank you. Sorry and then the path towards the breakeven gross margins. What do we have an idea of what that timeline might look like? Thanks.
Le Thi Thu Thuy: Looking at what we guided before, positive gross margin by next year and a positive EBITDA margin by 2026, the same estimate.
Andrew Sheppard: Got it. Super helpful. Thanks, Thuy Le. And then maybe just my last follow-up here. Can you just remind us where total liquidity stands as of Q2, so around US$98 million in cash. What is the total liquidity including the e-log facilities and the grants? And how are you thinking about capital needs? Thank you.
Le Thi Thu Thuy: So I think we, in terms of liquidity, right, we still have the e-log line. We still have about US$100 million in cash at the end of the quarter. So that's about US$1 billion. At the Vingroup's shareholders, general shareholders meeting, our Chairman also announced additional gift to VinFast. So about another US$1 billion. So we're looking at around like US$2 billion if we don't go back and take our majority shareholders again.
Andrew Sheppard: Wonderful. Very helpful. Thank you so much again and congratulations on the quarter. I'll pass it on.
Le Thi Thu Thuy: Thanks, Andrew.
Operator: Thank you. We will now take our next question. And the next question comes from the line of Steven Wahrhaftig from Wedbush Securities. Please go ahead. Your line is now open.
Steven Wahrhaftig: Hey, guys. This is Steven Wahrhaftig on for Dan Ives. Thanks for taking the question and thank you for giving us a little bit more background on the quarter. I wanted to ask a little bit more on the revenue side, more so the product mix that you're expecting going forward, especially with a bunch of these new vehicles hitting the market next quarter and then throughout the rest of this year. I just want to get an idea of what the expectation would be for what the mix would be going forward especially with the variance in ASPs?
Le Thi Thu Thuy: Yes. So the revenues what we provided guidance of 80,000 units this year, right? In starting from Q3 and Q4, you're going to see a lot more delivery of VF 3 and VF 5 was still the leading revenue driver for the previous quarters. So we still expect a lot more of VF 3 and VF 5. Yes. So more on the -- more affordable models.
Steven Wahrhaftig: All right. Perfect. Thank you.
Le Thi Thu Thuy: Thanks, Steven.
Operator: Thank you. We will now take our next question. Please stand by. And the next question comes from the line of Tyler DiMatteo from BTIG. Please go ahead. Your line is now open.
Tyler DiMatteo: Hi, everyone. Thanks for taking the questions here. I wanted to start on some of the comments surrounding the marketing efforts. And I'm just curious can you provide a little more color in terms of like how you're thinking about marketing for the business to boost brand awareness and kind of what are some of the steps that you're taking here to kind of get the name out of the company as you look to roll out and really scale production of the various models? Just any thoughts there?
Le Thi Thu Thuy: You're talking about globally or just US?
Tyler DiMatteo: Globally would be great, but if you can kind of parse it by region that would be good as well. Thank you.
Le Thi Thu Thuy: So basically we refocus the marketing activities on the markets where we anticipate more volumes. So that is similar to the -- to our plan. In markets like Vietnam or even to some extent in ASEAN, for example, our name the whole Vingroup name is very well known in Vietnam in particular, the whole ecosystem and the Vingroup brand and it's very well known. So we take a different approach and we don't need to spend a lot of marketing money on the brand awareness because people are already aware of it. And, especially, we already we are in the market -- we have been in the market for a couple of years. So people are aware of the good quality and the service level that we can deliver in the market. In international markets, in the US in particular, for example, our brand is still new. So we need to -- we need to spend more on brand awareness. The way that we do marketing across VinFast but also in the whole Vingroup ecosystem is we let the quality and our commitment to the quality to do -- to doing the right thing to the customers speak for themselves. And then the [indiscernible] marketing will get out and people will start coming in. So that we more or less taking the same approach in other markets as well. This year we rely a lot on the on our dealers and our dealership partners to spread the word out and together with expansion of the dealership network we're going to see more and more brand awareness in the US.
Tyler DiMatteo: Okay, great. Thank you for that. And then my follow-up here, I just kind of wanted to talk a little bit about the Vietnam consumer and some of your comments in terms of EV sentiment there. I'm curious really what's underpinning that improving sentiment. Obviously, it's early days and I imagine a lot of that is just due to the general increase in number of EV models and as pricing comes down as well that's obviously positive. But I'm curious do you think if there's anything else besides those two points underpinning that improving sentiment that maybe people aren't appreciating?
Le Thi Thu Thuy: Yeah. You are right about the improving sentiment. We fit it very well on the market right We start seeing like our sales team is getting so excited about I mean it's like a lot easier to sell our vehicles and we started gathering momentum. You can see that clearly from the sales to nonrelated parties increasing and we are getting more and more traction with ourselves in the market. But I think if you look at Vietnam in particular you look at the fundamentals, right. The vehicle penetration in Vietnam is still very low. The four-wheel penetration in Vietnam is still very, very low. And so we have a lot of room to grow there. And also we make vehicles that are affordable to everybody and with all these green initiatives in Vietnam as well as globally we believe that we'd be able to attract a lot more attention from customers not only just in Vietnam but in other markets as well.
Tyler DiMatteo: Okay, great. Thank you for the time. Really appreciate it. I will turn it back to the queue.
Le Thi Thu Thuy: Thanks, Tyler.
Operator: Thank you. I would now like to hand back to the room for any questions on the floor.
Nhi Nguyen: Thank you, operator. We have the next question from the line. What is the impact of the Typhoon Yagi to your Haiphong factory?
Le Thi Thu Thuy: Thank you for asking. The Typhoon Yagi is, the aftermath of Typhoon Yagi is very devastating for Vietnam. We haven't seen anything like this in the past, I would say, 30 years. And the whole country is still suffering and still trying to recover from the damages that caused that was caused by Typhoon and after that. To our factory, there were some damages to surrounding infrastructure. Some a lot of trees were blown away, but we weekly work together and resumed operations within a few days. We're still assessing the impact of the Typhoon, but so far we're back in operations.
Nhi Nguyen: Thank you, Madame Thuy Le. We have the next question from the line. How is the funding progress for the CapEx and construction progress of the two CKD facilities in India and Indonesia? What will be the main funding channels to fund the CapEx?
Le Thi Thu Thuy: So the conscious decision to push out the start of production of the North Carolina plant had with the capital relocation that released the capital for us to invest in the plants in Indonesia, in India so that we can enter this market competitively. And our -- so the -- in Q2 our CapEx is only US$108 million manages upgrade to the Vietnam factory. And we owe the savings from not investing this year in the North Carolina plant. Part of it will push to the Indonesia and the India plant.
Nhi Nguyen: Thank you, Madame Thuy Le. We have the next question from the line. PV power plants to build 1,000 trucking stations by 2035 in Vietnam available to all EV brands. How do you think this development might impact VinFast competitive advantage in Vietnam in the long run? What challenges or opportunities do you see for VinFast as the charging infrastructure landscape evolves?
Le Thi Thu Thuy: Thank you. Well, today, right, we have about 75,000, 75,000, 80,000, charging stations across Vietnam. You can go pretty much anywhere in Vietnam like any major locations in Vietnam on VinFast vehicles. And we continue our Chairman, V-Green, continue investing in charging station network. Actually, we just came up with a very interesting model where V-Green basically franchise the charging network to the -- to all the people in Vietnam. So by the end of the year, I think, V-Green plan is to build another about 20,000, 20,000, 40,000, charging stations across Vietnam. So, I mean, we think that other players coming to the market and building more charging stations, it just helps with the market, helps with the EV adoption. It's great for the country, great for the market. So, yeah, we think it's a good thing for the transition to the green mobility in Vietnam.
Nhi Nguyen: Thank you, Madame Thuy Le. We have the next question from the line. Please provide an update on your capital expenditure outlook given the decision to delay North Carolina plant. How has this changed your international expansion strategy? And are you still targeting 50 markets?
Le Thi Thu Thuy: Thank you. We started the year with a totally different outlook for the EV market. And the market this year has not been, I mean, EV has not been in favor this year. So we after Q1 we took a more prudent review of our strategy and decided to take a more prudent approach for the rest of the year. So delaying the plant in North Carolina is part of that prudent approach. And also going into only selected market is also another part of the prudent approach. Today I think we are in about 15 selected markets in the world and we for the rest of the year we continue pushing in this market instead of expanding further.
Nhi Nguyen: Thank you, Madame Thuy Le. Any updates on your entry into new Asian market in Southeast Asia? How has the customer reception been to VinFast? Are you working with local partners for charging and financing?
Le Thi Thu Thuy: Well, that's a very long question. So Southeast Asia and ASEAN is like one of the very important and key markets for our global expansion strategy. We basically Vietnam is part of the ASEAN like economic block. So like I said before we do have certain advantages in ASEAN markets. And in the -- to serve the foreseeable increasing demand of EVs in this market we focus on two competitive advantages that we have. First one, affordability, like making EVs really accessible to everyone in those markets and then asset sales policy. So affordability -- for affordability VinFast has a comprehensive portfolio at multiple price points very innovative battery leasing program that is -- that was very successful in Vietnam and proven to be very welcome in Indonesia and we believe in many other markets in ASEAN as well. On asset sales, we continue to exercise to offer the above market standard warranty offering like 7 years, 10 years warranty, 160,000 to 200,000 kilometers. And so that way you can remove the concerns during the early adoption stage and accelerate consumer choices towards EVs. In terms of charging V-Green asset being split out, cut out from VinFast. It's been developing very aggressively. So VinFast is setting up charging network in the market in ASEAN as well not only in VinFast showrooms but also in many other public charging network in this market as well.
Nhi Nguyen: Thank you, Madame Thuy Le. We have the next question on the line. Do you still target to achieve 80,000 this year? Given that first half, the company only deliver 25% of the target?
Le Thi Thu Thuy: Yes, we still, we are committed to the 80,000, vehicles delivery this year. And so the main volume driver, as I mentioned before, would be the VF 3. We have more pre-orders like this is like with nonrefundable deposit of about US$650 and we have more than we can deliver this year. So we target to deliver about 20,000 VF 3 this year in Vietnam market alone. And the VF 5 continue to be leader on the market as well. So these two models will now contribute significantly to the 80,000 delivery target that we had this year. So we still form about 80,000 delivery target.
Nhi Nguyen: Thank you, Madame Thuy Le. We have one final question from the line. It's great to hear that VinFast is focused on newer markets in Asia. As you think about VinFast longer term outlook, can you share how much you expect Asia market to contribute?
Le Thi Thu Thuy: I think I said this in some in earlier calls as well. We think that Asia I mean we -- our journey started from Vietnam, right. But we went to US and Europe to -- for the brand awareness and to basically enter those markets to prove that our vehicles have good quality. We can certify the most difficult customers in the world. But immediately, this year, we turned to market near us because we see a lot of potential in this market with very low EV penetration and with the policies and the country a lot closer to us. And so Asia is very important to us. When you look at India with the most populous country in the world with 1.5 billion people. You look at Indonesia the third most populous country in the world with about 300 million people. These are the huge market for us to penetrate. So Asia we think in the longer term we probably account for maybe 30%, 50% of our global volume.
Nhi Nguyen: Thank you, Madame Thuy Le. That's pretty much all the questions we've got for today. Thank you everyone for attending and for your continued support to VinFast. If you need any clarification, please let us know by sending an email to ir@vinfastauto.com. Goodbye and take care.
Operator: Ladies and gentlemen, this concludes today's conference call. Thank you for participating. You may now disconnect.